Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Endava Q2 FY 2020 Results. [Operator Instructions]. I would like to hand the conference over to your speaker for today, Laurence Madsen, Investor Relations. Please go ahead.
Laurence Madsen: Thank you. Good afternoon, everyone, and welcome to Endava's Second Quarter of Fiscal Year 2020 Earnings Conference Call. As a reminder, this conference call is being recorded. Joining me today are John Cotterell, Endava's Chief Executive Officer; and Mark Thurston, Endava's Chief Financial Officer. Before we begin, a quick reminder to our listeners. Our remarks today include forward-looking statements, including our guidance for Q3 fiscal year 2020 and the full fiscal year 2020 and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements, and reported results should not be considered as an indication of future performance. Please note that these forward-looking statements made during this conference call speak only as of today's date, and the company undertakes no obligation to update them to reflect subsequent events or circumstances other than to the extent required by law. Please refer to our SEC filings as well as our financial result press release for a more detailed description of the risk factors that may affect our results. Also, during the call, we'll present both IFRS and non-IFRS financial measures. A reconciliation of the non-IFRS to IFRS measures is included in today's earnings press release, which you can find on our Investor Relations website. A link to the replay of this call will also be available there. With that, I'll turn the call over to John.
John Cotterell: Thank you, Laurence, and thank you all very much for joining us today. Mark and I are pleased to be here to provide an update on our business and financial performance for the three months ended December 31, 2019. Endava had another record quarter for Q2 fiscal year '20, with the revenue of £85.9 million, a growth of 19.6% year-on-year from £71.8 million in the same period in the prior year. Our revenue growth in constant currency was 20.5% year-on-year. If we pro forma for the revenue from the Worldpay Captive last year, our revenue growth on a constant currency basis was 24.5% year-on-year. Our strong revenue growth is driven by the expansion of our existing customers and the acquisition of new ones during the quarter. We continue to broaden our client base and ended the quarter with 367 active clients, up from 271 at the end of the same period in the prior year, a 35% year-on-year increase. The total number of clients who generated revenue over £1 million on a rolling 12 months basis was 65, an increase of 8.3% over the same period of the prior year. While Worldpay remains a very large and fast-growing client for us, in Q2, following the sale of the Captive, it was no longer our largest client. Last week, we celebrated 20 years since I founded Endava, 20 years of reimagining the relationship between people and technology, 20 years of transforming business models, reimagining user experiences and opening up new markets through the creation of technology products. We started the business in the financial services space in the city of London, but are increasingly expanding into other sectors. Today, I'd like to spend a little time on retail and CPG, which is a fast-growing segment for Endava. Customers are becoming sophisticated consumers of content, with retail and CPG organizations being forced to provide increasingly content-rich experiences in support of new purchasing and ownership models. This experience can be taken to the next level by considering the immersive experiences that can be provided through the application of virtual and augmented reality technologies. By providing truly immersive experiences, ranging from mobile-enabled augmented way finding or extended product interactions, a retail and CPG business can counter out fatigue and drive a more direct interaction with end consumers. Expectations are also quickly transcending the table stakes experiences over the last 10 years, driving digital tools into the physical world, combining environmental elements with interactive touch points, designed to enhance and delight offering a differentiator against competitors and a potential advantage as they tap into more personalized engagements. On this note, data-driven insight is a core enabler of all these enhancements. Insights gleaned from data collection around behaviors, preferences, operations and conversion form the foundation of a new iterative product strategy, of which technology is an integral component. The rapidity with which companies can capture, synthesize and take action on customer data is increasing, and the time required to recognize results and inform the next phases of product development is shrinking inversely. In addition to these gains, data is creating a deeper, more personal connection to both products and the experiences associated with them. Audience segmentation has become such a granular pursuit that the days of grouping individuals against defined criteria are behind us, and each consumer is truly an audience of one with a laser focus on gleaning as much insight on a per person basis as possible to aggregate into still more development choices and customizations. We are well positioned to deliver into this space, rethinking the consumer-technology connection and pairing innovative thinking around data applications with strategic planning against emerging technology needs. I'd like to highlight how our service solutions and product innovation offerings are helping clients in the ever-competitive and changing world of retail and CPG. Our creativity, along with our technical expertise, have been instrumental in helping clients in these fast-changing sectors. We partnered with a U.S.-based worldwide retailer in leisure equipment. We provide applications used within their retail locations to help customers in stores as well as store staff and management. We are helping in the streamlining of several key business areas, including inventory management, SEO optimization and customer experience as well as technology migration to the cloud using both AWS and Salesforce platforms. We're also working with a leader in the online and mobile prepared food ordering and delivery industry. We're involved in several of their mission-critical projects, providing expertise and engineering capacity in a modern environment. For example, we recently delivered improvements to their ratings and reviews module. Our team owned the entire delivery of the solution, design, implementation and subsequent feature improvements. The work requires a well-designed architecture, allowing for vertical and horizontal scaling. Endava was chosen by one of the world's largest beverage companies to be their IT services partner for a variety of mobile and web lead internal and external projects. These projects include helping the beverage company giant consolidate and standardize its web experience on desktop and mobile. We've also built for them a next-generation promotion platform, designed to increase efficiency and lower cost by modularizing the company's promotions globally. It is designed to be available across all consumer channels, locally adaptable, easily configured and for a small fraction of the costs traditionally associated with their running such campaigns for their beverage business. In the CPG space, we are also working with Unilever. They had bold ambitions to revolutionize the world of HR rewards by building a platform offering a unified benefits experience. They needed an innovative technology partner with the capabilities to support their vision and deliver an end-to-end solution in an agile way. After a thorough competitive tender process, Unilever partnered with us to deliver the new platform. Unilever is now going to step further by making this exciting solution available to other businesses to purchase with the launch of uFlexReward as a new company. The cloud-based platform built on Microsoft Azure is multi-tenanted, secure and fully customizable to each business user's brand, and uFlexReward will continue to work with Endavo to support and further develop the product. On December 17, we announced the purchase of Exozet, headquartered in Berlin, Germany. Exozet is a leading German digital agency, delivering digital transformation from ideation to production using agile development. This acquisition should help to accelerate our European expansion. Exozet brings to Endava a list of well-known German multinationals, including Audi, Deutsche Telekom, Siemens and Europa Park as well as experience in the broadcasting sector, working with ZDF, Media Broadcast, the BBC and others. With this acquisition, we now have 156 employees based in Germany and Austria with end-to-end expertise from consulting to design, implementation and technical innovation. Exozet's key clients were very receptive to the announcement, and the acquisition is already leading to additional business, which we believe Exozet would not have won without our support. On the acquisition of Intuitus, which I highlighted last quarter, we started the integration process with several commercial wins. Currently, we are working through our combined go-to-market and the positioning of our services to PE funds. Intuitus' deep knowledge of the PE space and their flexible operating model is accelerating our PE footprint. An increasing number of PE funds for whom we've done due diligence work are coming to us to support their post-acquisition technology challenges. Our client growth continues to translate into strong employee growth. We ended the quarter with 6,267 employees, a 16.3% increase from 5,389 in the same period last year. In a continued effort to build out and invest in our U.S. growth, we recently opened 2 new close to client locations in the United States in Dallas, Texas, and Santa Monica, California. Both offices have a mix of close to client staff from our sales and delivery organizations. We expect those locations, along with those we have in New York City, New Jersey, Atlanta and Seattle, will continue to provide the basis for our U.S. expansion. Endava online community remains very active, with approximately 30 postings on technology thought leadership in the quarter ended December 31, 2019. We delivered a solid first half of fiscal year 2020. Client demand for our service offering remains strong. Mark and I and the entire team are extremely pleased with our excellent performance for Q2 and continue to have confidence in the opportunities ahead of us and, therefore, our ability to deliver value for all our stakeholders, our clients, our investors, our exceptional leadership team and, of course, our people, who are what makes Endava so special. I'll now pass the call on to Mark, who will walk you through our financial results for the quarter and provide guidance for the coming quarter and update it for the fiscal year.
Mark Thurston: Thanks, John. Endava's revenue totaled £85.9 million for the three months ended December 31, 2019, compared to £71.8 million in the same period last year, a 19.6% increase over the same period in the prior year. In constant currency, our revenue growth rate was 20.5%. As John mentioned, if we pro forma for the revenue from the Worldpay Captive last year, our revenue growth on a constant currency basis was 24.5% year-on-year. Loss before tax for quarter two fiscal year 2020 was £17.3 million compared to a profit before tax of £9.4 million in the same period in the prior year. The loss during the quarter is the result of the declaration of a nonrecurring discretionary employee bonus of £27.7 million in December 2019. The Endava Limited Guernsey Employee Benefit Trust, or EBT, funded the first tranche of the bonus through the sale of Endava's Class A ordinary shares in November 2019. Funding of the second tranche by the EBT is expected to occur during the second half of fiscal year 2020. As previously disclosed, the EBT, whose beneficiaries are our employees, was holding certain class A ordinary shares for sale in the event it decided to fund a discretionary cash bonus to our employees. Our adjusted profit before tax for the 3 months ended December 31, 2019, was £20.5 million compared to £13.6 million for the same period last year, a 50.8% year-over-year increase. Our adjusted profit before tax margin was 23.8% for the 3 months ended December 31, 2019, compared to 18.9% for the same period last year. The year-over-year improvement in our adjusted profit before tax margin is mainly due to an FX tailwind and continued positive pricing environment. We also benefited from a one-off gain from Argentinian credits relating to payroll taxes, which previously could not be fully utilized. This is as a result of a legislation passed in Argentina in December 2019. Excluding the impact of this release, our adjusted profit before tax margin would have been 23%. Adjusted profit before tax is defined as the company's profit before tax for the period adjusted to exclude the impact of share-based compensation expense, discretionary EBT bonus expense, amortization of acquired intangible assets, realized and unrealized foreign currency exchange gains and losses, initial public offering expenses incurred, Sarbanes-Oxley compliance readiness expenses, fair value movement of contingent consideration and gain on disposal of subsidiary, all of which are noncash other than discretionary EBT bonus expense, realized foreign currency exchange gains and losses, initial public offering expenses, Sarbanes-Oxley compliance readiness expenses and gain on disposal of subsidiary. Adjusted PBT margin is calculated as a percentage of our total revenue. Adjusted diluted earnings per share was 30p for the 3 months ended December 31, 2019, calculated on 56 million diluted shares as compared to 20p for the same period last year, calculated on 54.9 million diluted shares, up 50% year-over-year. Revenue from our 10 largest clients accounted for 37% of revenue for the 3 months ended December 31, 2019, compared to 38% for the same period last year. Additionally, the average spend per client from our 10 largest clients increased from £2.7 million to £3.2 million for the 3 months ended December 31, 2019. We continue to grow outside of our top 10 clients. The number of clients who paid us at least £1 million on a rolling 12-month basis grew to 65 at December 31, 2019, compared to 60 at December 31, 2018, and to 62 at September 30, 2019. These large clients operate in our 3 largest geographical locations, North America, Europe and United Kingdom. In the three months ended December 31, 2019, North America accounted for 29% of revenue compared to 27% in the same period last year, Europe accounted for 23% of revenue compared to 28% in the same period last year, and the U.K. for 45% of revenue, unchanged from the same period last year, while the Rest of World accounted for 3% of revenue. Revenues from North America grew 24.9% for the 3 months ended December 31, 2019, over the same quarter of 2018. Comparing the same periods, revenue from Europe was flat, and the United Kingdom grew 21.3%, but excluding the Worldpay Captive from the comparative, growth would have been 30.7%. We grew in all 3 of our industry verticals during the quarter. Revenue from payments of financial services grew 20.4% for the 3 months ended December 31, 2019, but excluding the Worldpay Captive from the comparative, growth would have been 28.3% over the same quarter of 2018 and accounted for 53% of revenue, unchanged from the same period last year. Revenue from TMT grew 60% for the 3 months ended December 31, 2019, over the same quarter of 2018 and accounted for 24% of revenue compared to 27% in the same period last year. Revenue from other grew 36% for the 3 months ended December 31, 2019, over the same quarter of 2018 and now accounts for 23% of revenue compared to 20% in the previous fiscal year. This growth was mainly driven by clients in the logistics, retail and services sectors. Our adjusted free cash flow was £8 million for the 3 months ended December 31, 2019, compared to £9.2 million during the same period last year. As already mentioned, during the period, we paid the first tranche of discretionary EBT bonus of £10.7 million. Excluding this, our underlying adjusted free cash flow was £18.7 million. Our adjusted free cash flow is our net cash provided by operating activities plus clients grants received less net purchases of noncurrent tangible and intangible assets. Our cash and cash equivalents at the end of the period reflects proceeds of £14.8 million from the sale of shares by the EBT to fund the first tranche of the bonus. This cash inflow is shown under the Financing Activities heading in the cash flow. CapEx for the 3 months ended December 31, 2019, as a percentage of revenue was 3.7% compared to 2.8% in the same period last year. We are currently refreshing equipment and investing internal systems, which accounts for the raise level as a percentage of revenues. The underlying cash generation of the business remains strong. Whilst the cash outflow in the period was £1.6 million, this is after spending £25.5 million on acquisitions. Our guidance for the third quarter of fiscal 2020 is as follows: We expect revenues will be in the range of £87.5 million to £88 million, representing constant currency growth between 26% and 27%; we expect adjusted diluted earnings per share to be in the range of 21p to 22p per share. Our updated guidance for full fiscal year 2020 is as follows: We expect revenues will be in the range of £349 million to £353 million, representing constant currency growth between 25% and 26%; we expect adjusted diluted earnings per share to be in the range of 95p to 99p per share. Our guidance regarding constant currency growth is pro forma for the sale of Endava Technology SRL, also referred to as the Captive to Worldpay. The transaction closed on August 31, 2019. This quarter, we are providing guidance for the third quarter fiscal year 2020 and for the full fiscal year 2020 using exchange rates at the end of January when the exchange rate for £1 to U.S. dollar was $1.31 and to the euro was €1.19. This concludes our prepared comments. Operator, we are now ready to open the line for Q&A.
Operator: [Operator Instructions]. And your first question comes from the line of Mayank Tandon.
Mayank Tandon: I just wanted to get some thoughts on the pipeline coming into this year. I'm assuming you've had conversations with clients run budgets for the upcoming calendar year. So I just wanted to get your thoughts around how does that look versus, say, a year ago? And maybe in terms of deal sizes, scope and size versus, say, 12 months ago, how is that shaping up?
John Cotterell: Mayank, so the metrics on the pipeline for us look very similar to the picture that we had a year ago. You're quite right, customers shape up their budgets. Some of it happens towards the end of the last calendar year, but much of it firms up during the first couple of months or so of each calendar year, and we're seeing good clarity on that. And it's following a similar pattern to previous years.
Mayank Tandon: Got it. And then maybe just pivoting to margins. Obviously, the margins have been running hot, well ahead of your medium-term targets. So sorry if I missed it, but I wanted to get some thoughts on what are the levers that bring the margins back down in the back half of the year for your guidance? Is it utilization? Are there other factors that will play a role in margins coming down in the rest of the year?
Mark Thurston: Mayank, so we benefited this quarter from the Argentinian fiscal credit, which I can give you some detail if you're interested in. But that contributed about 0.8 percentage points to our adjusted PBT margin. But as you pointed out, our adjusted gross margin was strong even including that. Some of that is the benefit of FX because the pound has strengthened against the U.S. dollar and the euro, but it's also the positive pricing environment. But in terms of going forward, we're coming up to our major pay round at Endava, which takes effect from the 1st of January, and that has gone through, and that will reduce our adjusted gross margin by 2, 2.5 to 3 percentage points. And in tandem with that, Q1 and Q2 have benefited from additional working days of 66 days each. And this quarter, Q3, we have 65 days, and that reduced working day. So you're paying people, but you're receiving 1 less day of revenue, that's about a 1 percentage impact. So in tandem with the gross margin coming off somewhat, we also see SG&A picking up. It was positive in terms of the percentage this quarter. But we're victim of our own success in terms of the share price. So we've lost our emerging growth status. And so we have to have our SOX assertation reviewed by our auditors. And we're having to do that in pretty short order and that is going to boost our SG&A in the second half. So it's a combination of factors that play for a reduced level of margin, both at the adjusted gross margin and the adjusted PBT margin for the second half of the year.
Operator: And your next question comes from the line of Bryan Bergin.
Bryan Bergin: I wanted to start just a little bit on M&A target flavor. Can you comment on the financial profiles of the two targets here as far as growth and profitability? And on Exozet, can you give us a sense of that size? And whether that you would say brings a new sub-vertical for you within TMT or is it more so a scaling of the TMT capability there?
Mark Thurston: Sure. So in terms of the size for Intuitus, we can talk about historic figures. So they generate about £5.5 million in the 12 months, and it's going back some time in 2018. They generate comparable EBITDA margin to Endava. And they are also growing a good lick, not quite as fast as we are. The last 4 years, the CAGR has been about 18%. There will be a little bit of noise around sort of revenue per head because they have a freelance associate model. So they have around 24, 25 people who are permanent. So that will distort our metrics in terms of revenue per head, but it's not significant because Intuitus is about sort of 1% of Endava overall. Exozet is generating around €15 million annually. So in pounds, that's about sort of £12 million. Their growth rates, again, are similar to Endava. Margin profile is lower than ours. They have a number of onshore - heavier onshore mix to Endava, so around 156 people. All of those are onshore by our definition. Because of the work they do as well in that onshore mix, their revenue per head is also slightly than Endava. But again, you have a - once you put them part of Endava, it has negligible effect in terms of dilution. So hopefully, that gives you an idea of the size. I don't know if John wants to comment on...
John Cotterell: Just on the sub-vertical question, most of their work fits into TMT, the media space broadcasting fitting within media with some of it in other. So it actually aligns with our verticals. We were very keen on that. One of the reasons that we wanted to do the Exozet deal was to give - stop that push in Europe that we've been talking about and give a better critical mass aligned with our existing sectors in Europe. So it fits very, very well from that point of view.
Bryan Bergin: Okay. That was helpful. And then, I guess, just on Europe. Can you just comment on the performance there? Are there any particular clients or any verticals that are performing slower than others right now?
John Cotterell: So the main thing to say about Europe is that we haven't pushed and invested as much in Europe as in the U.K. and the U.S. over the last year, I've commented on that in most of the earnings calls recently. And so it's by our own decision that we haven't seen the growth in Europe. As I called out last time, we're starting to push some of that attention back into Europe. The Exozet deal is very much part of initiating and strengthening that push into Europe. And we will now start ramping sales teams and so on across Europe to start to see some benefit. I have to say from a market point of view, it will probably take a while to come through. We have to bring the sales guys in, get them up to speed. It takes them a while to mature to the full level of bookings that we expect from them. So just as with the U.S., over the last 2 years, we've been ramping, and you see the effects there. We'd expect to start to see that come through in Europe over the next 12 to 18 months.
Operator: Your next question comes from the line of Maggie Nolan.
Margaret Nolan: In some of your large verticals like payments and telecom, is there any exposure to or opportunity from recent M&A activity in those industries?
John Cotterell: You're talking about across potentially some of our clients and so on where they're emerging?
Margaret Nolan: Yes, exactly.
John Cotterell: Yes. So I mean, in the payment space, we've seen this a number of times over the years, where our clients have bought businesses that will become part of larger businesses. And that has pretty much universally been a good move for us where it's opened up wider opportunities. And we've seen work within the client expand as a result of that. I mean, that happened with the Mastercard acquisition of Vocalink. It happened with Worldpay following the merger with Vantiv. And then, of course, more recently, following the FIS acquisition, we've seen acceleration coming through from that. So generally, where that happens, it's a positive move for us. And we can see 1 or 2 others that are in process, but in the public realm with clients where we can see work lining off the back of that. So yes, it's a good driver for us.
Margaret Nolan: Okay. Great. Good to hear about acceleration coming off the FIS acquisition. And then on the work that you're doing in - with PE firms, when you do that due diligence work upfront, how consultative are you during that process? And are you using that as an opportunity to pitch those types of changes and improvements that you would make? And then is there any kind of upcharge for consulting services like that?
John Cotterell: Yes. So I'd probably split the answer to that into three spaces. There's some work that we've traditionally done direct with PE and that can happen doing due diligence. It can happen after they've bought the portfolio company and indeed some of the relationships have started with the managers of those portfolio companies after they've established their strategy. And at all stages of that process, we're looking to position Endava's capability to do execution of their investment thesis through the platform changes that they're looking at. Obviously, there's the relationship with Bain, where we're working alongside them with some of the larger PE firms. And once again, in those situations, we're helping the client to put together their investment thesis, but once again, very much positioning for Endava's ability to help with the execution downstream. With the Intuitus guys, their business model has been to just be doing the IT and digital due diligence with a little bit of downstream, very, very small amount, really. So we are going through that process of helping them to understand the Endava capability and how to position that with clients. And we are seeing - I think we've seen 1 downstream piece of work come through from that since November when we did the deal, which is actually faster than we expected. So yes, we are seeing that flow coming through.
Operator: And your next question comes from the line of Ashwin Shirvaikar.
Ashwin Shirvaikar: Congratulations on your 20-year anniversary.
Mark Thurston: Big movement.
Ashwin Shirvaikar: So I guess, my first question is with regards to the operational headcount growth, seemed like it was 13% versus the, obviously, much higher revenue growth. I think you've mentioned a couple of the elements, pricing and utilization and so on, maybe there's a timing of higher impact. But can you quantify the relative part of the gap, if possible, and provide a view on how some of these metrics might evolve?
Mark Thurston: Yes. So if I just focus on, say, the constant currency growth, so our revenue was 20.5%. And as you point out, the closing headcount was 16.3%, but that can mislead because we had the headcount for Exozet at the end of December, but very, very small contribution in terms of revenue. So it's the average headcount that's probably the better metric, which grew 12.9%. So there is that gap in terms of the rate. The way I tend to think about is the revenue per head, which joins the 2 metrics quite nicely together. And that is really a function of utilization and pricing or rate per man days we refer to at Endava. So our revenue per head has grown to £62,800 at the Q2, which compares with £61,700 in the last quarter. And year-on-year, that £62,800 compares with the £59,300 in Q2 FY '19. And what you need to bear in mind when we quote those figures, I'd say it's a function of utilization of rate is actually our utilization was marginally higher than wherever they were used to, it was in the low 70s. We're now at a more normalized level, which is high 60s. So you can infer from that, that a lot of it is from the positive pricing environment that we're operating in at the moment.
Ashwin Shirvaikar: Understood, understood. Okay. And what's the expected inorganic contribution for the rest of the year in GBP, I guess? And let me throw in the broader M&A question as well. Obviously, a very healthy cash balance here, which actually grew. So if you could comment on your M&A pipeline, where might it be focused?
Mark Thurston: Sure. So in terms of the guide, so we guide in two ways. We give the constant currency growth, and also we give an absolute figure based on what we anticipate the exchange rates to be, which we just select the end of January, as we said on the call. So our guidance for the second half, you've roughly got around 2% of our increased constant currency growth coming from the contribution from Exozet. So I think we raised our guidance from the previous full year by sort of 3 percentage points, 1% is reflecting the beat that we've had in Q2 and then the balance is reflecting that uplift or contribution for the 6 months from Exozet.
John Cotterell: And then on your M&A question, our focus there continues to look for sensibly sized, tuck-in sized businesses, big focus on geography and the geographic expansion that we're looking for with our focus there being on Europe and the U.S.A. still. Of course, we're looking for businesses that will strengthen us in our current sectors, particularly where we've got a geographic weakness in that sector. But also, we're just keeping an eye out for businesses that are bringing in technology that we think is going to be exciting. The Rest of the World, as you will have seen from our numbers, is starting to pick up. So we've just got a weather eye on what the right moment is to use M&A to accelerate that as well.
Operator: Your next question comes from the line of James Friedman.
James Friedman: And let me echo the congratulations both on the strong numbers and the 20th. I'll just ask my two upfront, if I could. Mark and John, in your prepared remarks, you emphasized a benign pricing environment. I was hoping you could dimensionalize that a little bit. Is this what you're used to? Or is it getting better, even better than better? And then, John, I want to get your perspective on IT budgets. We're about 6 weeks in now. How are things shaping up for your clients in terms of their budgets for calendar '20?
Mark Thurston: Well, we don't explicitly call out prices, you can tell from the answers I've given thus far. But we've seen strength basically since the IPO in our rate per man-day, and we've almost seen sort of sequential growth on some quarters of a modest sort of nature and certainly growth year-on-year. And what we're seeing - are we seeing any sort of slowdown in that? No, we're not currently.
John Cotterell: And on your IT budget question, I mean, I think this is a function of the segment of the market that Endava is focused on. We're focused on the areas where companies are continuing to invest and that's all driven by the level of change that the technologies that we're working with enable and the impact that they have on our clients' business models. So we continue to see a lot of new opportunity areas with clients, areas where we can ideate and drive change in their business. So I think compared with larger competitors, who are perhaps more exposed to other segments of the market where clients are pulling back budget, we see a lot less reaction to that. It's a benefit of being a pure-play in the next general or digital-focused business area. So we continue to see the growth opportunities coming from budgets flowing in our direction.
Operator: And your next question comes from the line of Joseph Foresi.
Daniel Reagan: This is Daniel Reagan, on for Joe. So you had mentioned about a 2% contribution from Exozet in the second half. I'm just curious about organic growth. Can you breakdown how we should think about organic growth for the fiscal year and longer term for the company?
Mark Thurston: Well, we're not really deviating from what we've said since the IPO, which is that we'll grow at plus 20% constant currency year-on-year. And in some quarters, we have grown faster than that, but that basically remains our sort of guide.
Daniel Reagan: Got you. Excellent. And you also provided some color on factors that got us to the 23.8% adjusted PBT margin. Can you provide a little more color on how we should think about the PBT range for the full fiscal year and longer term? Are there any updates on that?
Mark Thurston: So as I sort of said at the start of the Q&A, I think our adjusted PBT margin will come off in the balance of the year because it has been pretty strong where it was 20%, 20.5% for Q1, 23.8%, but there are some one-offs in there. Again, in terms of whether we're sort of going to rebase our outlook in terms of the adjusted PBT margin, which we stated at the IPO is 17%, I'd like to get Q3 under my belt and see what that brings before we look forward. But I think where we will probably get to over the longer-term is that as Endava grows and we maintain a good level of adjusted gross margin, we will get the leverage over SG&A. We're impacted this year as I said upfront because we have to invest and making sure that we are SOX compliant for the orders through assertation. But I think once we're past that, then the growth should exceed our level of SG&A and be margin accretive. But we'll probably provide more update on that when we go to Q3.
Operator: And there are no further questions at this time. I'll turn it back over to the speakers.
John Cotterell: So thank you all for joining us today. You will have gathered that Mark and I remain confident about the opportunities ahead of us, and look forward to speaking to you again next quarter. Thank you all.
Mark Thurston: Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference call. You may now disconnect.